Operator: Good morning, and thank you for standing by. Welcome to the Dorman Products Second Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note that this conference is being recorded. I'd now like to turn the conference over to Alex Whitelam, Dorman's New Vice President of Investor Relations and Risk Management. Sir, please go ahead.
Alex Whitelam: Thank you. Good morning, everyone. I'm excited to join the team here at Dorman. I'm looking forward to working with you all. Welcome to Dorman's second quarter 2024 earnings conference call. I'm joined by Kevin Olsen, Dorman's Chief Executive Officer; and David Hession, Dorman's Chief Financial Officer. Kevin will provide a business update, then David will review the quarterly results, followed by closing remarks from Kevin. After that, we'll open the call for questions. By now, everyone should have access to our earnings release and earnings call presentation, which are available on the Investor Relations portion of our website at dormanproducts.com. Before we begin, I would like to remind everyone that our prepared remarks, earnings release, and investor presentation include forward-looking statements within the meaning of federal securities laws. We advise listeners to review the risk factors and cautionary statements in our most recent 10-Q, 10-K, and earnings release for important material assumptions, expectations, and factors that may cause results to differ materially from those anticipated and described in such forward-looking statements. We'll also reference certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are contained in the schedules attached to our earnings release and in the appendix to this earnings call presentation, both of which can be found on the Investor Relations section of Dorman's website. Finally, during the Q&A portion of today's call, we ask that all participants limit themselves to one question with one follow-up and to rejoin the queue if they have additional questions. And with that, I'll turn the call over to Kevin.
Kevin Olsen: Thanks, Alex. Good morning. Thank you for joining us on our second quarter 2024 earnings call. I'm going to begin today with a discussion on the highlights of our quarterly performance on both a consolidated and a segment basis. I'm also going to spend time discussing some of the exciting investments we've made in our operations over the last few years to provide you with insight into how Dorman is innovating not only in product development, but across our entire enterprise. Turn to Slide 3. You are following along with our deck. The momentum we saw in the first quarter of the year continued through the second quarter as we delivered another strong set of financial results. Consolidated net sales increased 5% year-over-year to $503 million, and we achieved a 430 basis point improvement in adjusted operating margin. This margin improvement was a result of higher sales volume, the continued abatement of inflationary costs, and productivity initiatives that drove cost savings. Adjusted diluted EPS increased an impressive 65% over the same period last year. Free cash flow of $51 million continued our positive trend, and we utilized it to repay $15 million of debt and repurchased $25 million of our shares. Most importantly, our performance through the first half of the year, along with our outlook for the balance of 2024 prompted us to increase our full-year earnings guidance. David will cover this in a moment. Moving on to Slide 4, I'll provide some segment observations. In Light Duty, we continue to be encouraged by positive overall market trends. In addition to the long-term underlying growth trend in the Prime VIO, vehicles aged 8 years to 13 years, which are in the sweet spot of Dorman's repair profile, vehicle miles traveled grew year-over-year and we saw hotter than average temperatures across the U.S., which often proceeds strong periods of vehicle repairs and part sales. POS, sales of Dorman's products by our customers to end users grew high single digits in the quarter and generally was aligned with Dorman shipments. Excitingly, a large customer made the decision to transition a majority of spend from private label to Dorman branded packaging because they recognize the immense value that end customers place on our brand. We see this as a validation of the investments we continue to make in innovation, in the quality of our products, and in the market's awareness of the benefits that Dorman brings. Additionally, our Light Duty business continues to drive significant value through its innovation strategy. During the quarter, we deployed hundreds of new products, including a number of new to the aftermarket parts. One good example from the complex electronics portfolio was the keyless entry keypad. This component is designed to match the fit, function, and performance of the original exterior keypad. Finally, we took several critical steps in our continued DC automation journey that I'll discuss in a bit. Turning to Heavy Duty, the freight industry continued to be challenged. We're expecting this sector softness to remain through the rest of the year, with few signs that we'll see an improvement before early 2025. Sequentially, however, for the second straight quarter, Heavy Duty sales performance was better than the prior quarter. In terms of initiatives, our execution on the new to the aftermarket playbook in Heavy Duty is showing strong traction. Our new product development team continues to ramp up its exclusive product releases. A recent product launch that exemplifies this is our diesel particulate filter muffler housing kit, which is a product new to the HD aftermarket and conveniently provides a complete repair kit with all required clamps and gaskets. Also during the quarter, we launched an improved new product commercialization process in our Heavy Duty business that will allow our customers to deploy the benefits of Dorman's innovations quickly and broadly through their customer bases, helping our customers grow new product sales and driving growth for Dorman. Finally, in Specialty Vehicle, we're focused on gaining share in a sector that continues to face headwinds. Our strategy of driving growth from new dealers has increased sales year-on-year in this channel. Similar to our other two segments, new product development, particularly in non-discretionary categories, has also quickly become a reliable source of growth in Specialty Vehicle business. On the new product front, we added hundreds of new products into the market during the quarter. An exciting recent launch was the SuperATV Black Ops Ready-Fit Winches, which includes machine-fitted mounts and all wiring pre-installed. For customers or dealers, this cuts down the installation time from 3 hours to just 30 minutes. Additionally, in the quarter, we saw productivity initiatives that drove margin improvement. We remain confident that demand for new vehicles, accessories, and repair parts will rebound once customers become comfortable as volatility and inflation in the overall economy levels out. We believe we are beginning to see light at the end of the tunnel, with Specialty Vehicle manufacturers signaling that inventory destocking efforts at dealers are nearly complete. This suggests that wholesale shipments to dealers are coming back in line, the retail sales to customers with current inventory stock levels back to pre-COVID levels. Next, as I mentioned in my opening remarks, I'm excited to share with you how we're deploying innovation not only in new product development, but across our entire enterprise. In late 2020, we undertook a strategic review of our operations footprint with the goal of ensuring that our assets and capabilities were aligned with the ambitious commercial growth plans that we had set. We recognized that our business was becoming more complex as customer volume and service level demands were growing. This required excellence in multiple modes of operations fulfillment in order to continue serving our customers at a level that they rightfully demand. It quickly became clear that our old ways of operating were not sustainable in this new environment and that without innovation, we would be facing space and labor constraints that could curtail our ability to scale and grow. We decided that we needed to evaluate implementing best-in-class capabilities and automation to maintain our operations ability to execute our commercial growth. Turning to Slide 6, I'll discuss some of the solutions that we've implemented. First, let me say that two of our largest warehouses in Portland, Tennessee, and Warsaw, Kentucky, have been transformed in terms of how the flow and processes of the sites have been organized and optimized. I'm truly proud of our operations contributors' creativity in reimagining their processes, their endorsement of what could have been a threatening set of changes in their alignment with and receptivity of their reimagined workflow. They embrace these investments as a force multiplier, allowing them to do their job more quickly, accurately, and safely. We have deployed a fleet of autonomous mobile robots that reduce the time our contributors spend traveling through our countless rows of products. These AMRs are on track to complete 200,000 miles of travel this year, with each mile representing approximately 15 minutes of labor that can now be applied by our contributors to higher function tasks. We have also deployed a set of vertical lift modules that operate like massive parts vending machines. These machines substantially reduce our parts storage footprint requirements and also improve fixed cycle times by approximately 38%. Maybe most exciting, we're in the process of implementing a state-of-the-art warehouse execution system software package. It ties all of our investments together, allowing us to combine both automation equipment and people seamlessly, and is expected to provide the scalability and flexibility to grow and manage our increasingly complex business going forward. All told, we've invested $14 million in capital and three years of research, design, and implementation of these systems to provide our warehouse contributors and customers with substantial benefits. Once fully utilized and optimized, we expect these projects will yield an annualized net savings of approximately $8 million and provide operational efficiency benefits to Dorman far into the future. While today we're in the early innings with these projects, we're already seeing modest savings improvements compared to last year as Light Duty's Q2 total operations expense as a percentage of net sales was 80 basis points lower than last year. The team is working hard to continue integrating these systems and we expect to accelerate the savings over time. Now I'll hand off to David to review our Q2 financial performance.
David Hession: Thanks, Kevin. Turning to Slide 7, Q2 consolidated net sales of $503 million, up 5% year-over-year. This growth was driven by increased demand in our Light Duty segment, including higher sales of new products. Partially offsetting this growth was the soft market conditions that continue to impact our Heavy Duty and specialty vehicle business. I'll dive deeper into each of the segments in just a moment. Adjusted gross margin for the quarter was 39.6%, a 450 basis point increase compared to last year. The year-over-year margin improvement was driven by the easing of inflationary pressures across the businesses and favorable cost savings initiatives, including the ones that Kevin discussed. Adjusted SG&A expense was 24% of net sales, relatively flat compared to the same period last year. Adjusted operating income was $79 million in the quarter, a 45% increase from the same period last year. Adjusted operating margin was 15.6%, up 430 basis points year-over-year, primarily due to the improvement in gross margin. And finally, adjusted diluted EPS in Q2 was $1.67, an impressive 65% increase versus last year. The growth was mainly due to the increase in adjusted operating income coupled with lower interest expense and share count reduction, partially offset by a higher tax rate. Next, let me provide updates on the quarter for each of our business segments, starting with Light Duty on Slide 8. Q2 Light Duty net sales were $385 million, a 9% increase year-over-year. Shipments were generally aligned with customer POS during the quarter, growing high single digits. Our new products continue to drive meaningful sales for the segment. Light Duty operating margin was 17.1% in Q2, a 550 basis point improvement year-over-year. As with the overall business, lower-cost inventory and cost-saving initiatives continued to improve margins for the Light Duty segment. Moving on to Heavy Duty on Slide 9, net sales were $61 million in Q2, down 11% compared to last year. Like last quarter, Q2 was up against a strong prior year comparable as the COVID-driven inventory restocking peaked in the second quarter of 2023. We are encouraged that the Heavy Duty business has again managed to drive sequential quarter-over-quarter net sales growth in this environment, partially attributable to the investments we've made in new product development for HD. Operating margin for Heavy Duty was 4.4%, down 50 basis points from last year's second quarter, but up 440 basis points sequentially. Heavy Duty's margin was impacted by the delevering of fixed costs on lower net sales volumes and the investments we have made to drive top and bottom line growth over the long term. Sequential improvement in net sales and operating margin are encouraging signs that the team is driving improvements in the business in a challenging market environment. Shifting to Specialty Vehicles on Slide 10, our Q2 net sales were $56 million, a 2% decrease compared to last year. Similar to last quarter, we continue to see higher financing rates and general economic uncertainty creating demand headwinds for the sector. With that said, we believe the business continues to capture share as our sales outpace the estimated mid-single-digit sector decline. As we mentioned in our last call, we remain confident in the long-term opportunity for the Specialty Vehicle park as alternative transport vehicles continue to generate strong enthusiasm, so we believe this is a temporary challenge. Despite slightly lower sales year-over-year, Specialty Vehicle delivered solid margin growth. Q2 operating margin for the business was 17.8%, a 100 basis point increase over the same period last year, driven primarily by cost savings initiatives. Turning to Slide 11, let me take a moment to cover our cash flow. Free cash flow was a healthy $51 million in the quarter, while free cash flow was down 5% compared to last year. This was partially due to cash used for inventory in 2024 versus cash provided in 2023 from significant inventory reduction, offset partially by higher net income. In line with our capital allocation strategy and consistent with the last several quarters, we invested $12 million in capital expenditures during Q2. We also repaid $15 million on our credit facility and returned $25 million to shareholders with a repurchase of 272,000 shares at an average price of $91 per share. I'll turn next to our balance sheet and liquidity on Slide 12. As of June 29th, our net debt was $500 million, a reduction of $28 million from Q1. Our net leverage ratio was 1.44 times adjusted EBITDA, down from 1.61 times in the first quarter of 2024 and 1.87 times at the end of last year. Our current leverage is comfortably below our long-term target ceiling of 2 times or less than 3 times in the first year following an acquisition. Additionally, we had $576 million of total liquidity, including cash on hand. We remain confident in the strength of our balance sheet and the capacity we have available to execute our strategic initiatives. Now I'd like to discuss our updated guidance for 2024 included on Slide 13. As I mentioned, Light Duty shipments generally were aligned with customer POS throughout the second quarter, and our guidance assumes that the two remain in sync throughout the balance of the year. Favorable market conditions are expected to continue in the second half, with Light Duty sales growth consistent with our first-half results. Our Heavy Duty business continues to be negatively impacted by a soft trucking market. We expect this softness to continue through the balance of 2024. And finally, Specialty Vehicles and markets continue to face challenges, but we expect the team to continue to focus on taking share for new product launches geared around non-discretionary repair parts, adding new direct-to-consumer customers, and building new dealer relationships. As a result, we expect Specialty Vehicle sales to be flat to slightly higher in the second half. Based on these expectations, we are confirming our consolidated full-year net sales growth guidance of 3% to 5%. We are raising our 2024 adjusted diluted EPS guidance range $6 to $6.20, representing a 32% to 37% increase over the prior year. As we have discussed previously, we've made significant investments in productivity initiatives over the past several years. These efforts drove higher cost savings than we anticipated in the second quarter, which we expect to continue in the second half of the year. Our earnings guidance was also updated to reflect the impact and shares repurchased in the first half of the year. With that, I'll turn it back over to Kevin to conclude. Kevin?
Kevin Olsen: Thanks, David. We're proud of our second quarter and year-to-date results. Our strong first-half results and positive outlook for our combined businesses through the balance of 2024 provided us with the confidence to raise our full-year earnings guidance. Our teams in Specialty Vehicle and Heavy Duty businesses have done an admirable job navigating market headwinds, while a Light Duty team continues to drive above-market growth. We remain committed to investing for the future and capitalizing on our innovation strategy to develop new product solutions that allow our customers to succeed. This includes continuing to invest in automation, capabilities in our operations to meet our customers' service level requirements and support our internal growth objectives. Confident that our growth and innovation strategy, coupled with the dedication and hard work of our contributors, will enable us to continue driving momentum for our customers and other stakeholders. With that, I would now like to open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Scott Stember with ROTH MKM. Your line is open.
Scott Stember: Good morning, guys, and thanks for taking my questions.
Kevin Olsen: Good morning, Scott.
David Hession: Good morning, Scott.
Scott Stember: Very impressive POS growth in Light Duty. A couple of your customers on their second quarter conference calls talked about some weakness that popped up, notably, I guess, in hard parts or under-car parts. Just trying to get a sense if you saw that within those numbers and just to kind of parse out market versus share gains for you guys with new products.
Kevin Olsen: Yes, thanks Scott. Good question. I mean, if we look at the POS, I mean, we saw a broad-based growth really across all our categories. I'm not really going to talk specific category growth levels, but it was a solid quarter. No question that the macro trends continue to remain favorable there. In that segment, you've got more used cars, they're older, miles driven, continues to be at solid levels. And the sweet spot for us that we've talked a lot about before, the 8 year to 13 year old vehicle cohort continues to grow. We also continue to see a lot of traction with new products. We had a really solid quarter for new products. We launched roughly 1,700 SKUs or so across the enterprise in the second quarter. Roughly 30% of those were what we would consider new to the aftermarket. So they don't exist in the aftermarket at the time that we launch it, and that was a 20% growth over the previous Q2. So we feel really good with our strategy to continue to deliver innovation to the aftermarket. And as we've said, we believe that will continue to drive above-market growth.
Scott Stember: Got it. And then my follow-up question on Heavy Duty and specialty, factoring some of the cost containment measures and assuming sales do come back in specialty later in the year and Heavy Duty next year, what are the margins that we should -- operating margins by segment that you could expect on the incrementals as things come back?
David Hession: Yes. Scott. It's David. It's a good question. So we've seen some really good work. The team's been focused on margin over the last several quarters, and we've made some great progress. As we kind of think about the three businesses and where we expect the margin profile to be, we expect the Light Duty to be kind of in that high-teens. Same with the specialty vehicle high-teens and then the Heavy Duty business, probably more in the mid-to-high teens. So again, if you look at where our Q2 results came in, we're kind of in the ballpark on two of the three. And like I said, feel good about the progress we've made over the last few quarters.
Scott Stember: Got it. Very helpful. Thank you.
Kevin Olsen: Thanks, Scott.
David Hession: Thanks, Scott.
Operator: Your next question comes from the line of Bret Jordan with Jefferies. Your line is open.
Bret Jordan: Hi, good morning, guys.
Kevin Olsen: Good morning, Bret.
David Hession: Good morning, Bret.
Bret Jordan: On the light vehicle, is there a way to sort of look at the same SKU POS? Because that high single digit, obviously is very strong performance versus your customers sales. If we take out what was new product-driven, could we get a feeling for traction in the core SKUs?
Kevin Olsen: Yes, I would say, Bret, that we don't publicly break that out, but frankly, most of our growth is driven by new product, whether it was launched two years ago, three years ago, one year ago or this year. So that has been the driving factor of all our growth, Bret, as you look kind of backwards incrementally to what the market growth is, which we believe is kind of in that low single-digit level.
Bret Jordan: Yes. Okay. And then within specialty, I guess, give any color on the cadence of POS there? Is the consumer and specialty getting incrementally better as you're sort of looking for some improvement in sell-in, I guess, in the second half? Does that mean the sell-out is improving?
Kevin Olsen: No, I wouldn't say the sellout's improving. I mean, that business right now, frankly, has been flattish. If you look at the first half of the year, we had some modest growth last year. There is some signs that inventory in the dealer channel is starting to come down back to more normalized levels that will help as new machine sale growth ramps up. But we're not going to bank on that, Bret. Our strategy there has been the market is what the market is and we're focused on kind of two major initiatives there, which is continuing to take share in the dealer channel and, you know, increasing our non-discretionary repair part business, which we've been very successful in. That's enabled us to kind of drive flattish to modest growth in what we view as a slightly down market. So those are the things we're going to continue to focus on in addition to productivity initiatives across the business.
Bret Jordan: What's the sweet spot in specialty? Do you sell more when a new ATV or UTV is sold, or do you sell more into the maintenance of a three year to five year-old ATV?
Kevin Olsen: Yes, a great question, Bret. A very high percentage of our sales come within the first two years of a new vehicle sale. So for us, when we see new vehicle sales drop, that really does impact the business.
Bret Jordan: Okay, great. Thank you.
Operator: There are no further questions at this time. This will conclude today's conference. We thank you for joining. You may now disconnect your lines.